Tim Lange: Thank you, and good afternoon, ladies and gentlemen, and welcome to our Q3 earnings call. My name is Tim Lange, Head of Investor Relations, and with me are Klaus Engel, CEO; and Ute Wolf, CFO of Evonik.
 The agenda of today's call is, as usual, we will start with a short presentation on the highlights of our third quarter and then open the floor for the Q&A session. With this, I'd like to hand it over to Klaus. 
Klaus Engel: Good afternoon, ladies and gentlemen. A very warm welcome also from my side, and thank you for joining today's Q3 earnings call. Let me start by welcoming Ute Wolf as Evonik's new Chief Financial Officer. I think most of you have already met her at the Capital Markets Day. And effectively, from October 1, now, she is in her new responsibility. Ute, it's a pleasure to have you on board.
 So let's jump right into our presentation on the third quarter, which has been more or less in line with our expectations. As usual, I will start this call by highlighting the most important developments during the past quarter before Ute will then guide you through the financial results. And I will close the presentation with our outlook, and then we are, of course, both happy to take your questions.
 In the third quarter, the overall market environment remained challenging. As anticipated, global economic growth remained somewhat weak, especially in Europe and China, which are important regions for our business. Growth rates remained below the previous year. However, most parts of our portfolio have proven to be resilient in these difficult market conditions.
 Operationally, there's clearly a positive trend visible in our sequential performance. We have improved our adjusted EBITDA and our margin against the levels seen in the last quarter Q2 of this year. Also, on the third quarter, we have consistently pursued our corporate strategy, focusing on growth efficiency and values in a balanced way, and more details will follow later on after the financial highlights of this quarter.
 Overall, sales were 4% below the prior year quarter. Volumes continued to be strong across all segments, while prices were again lower in the year-on-year comparison, and this mainly reflects lower year-on-year prices for feed amino acids and Butadiene particularly compared with last year's strong levels.
 Earnings were also below the prior year quarter. However, adjusted EBITDA showed a sequential upward trend and was 3% higher than in the previous quarter of this year.
 Two other events in the third quarter impacted our financial statements, namely the closing of the real estate divestment, finally resulting in a net cash position; and secondly, the intention to divest our lithium-ion battery activities.
 Let me elaborate a little bit on this event. This business has been classified as discontinued operation from now on. We will discuss this topic in more detail shortly. But I would like to start with the progress we made with our strategic focus on growth, efficiency and values.
 First of all, our investment program is advancing well and in line with our expectations. In the past few weeks, 2 new production plants of the Consumer Specialties business unit accomplished mechanical completion. They will go into operation during the course of the fourth quarter and contribute to our operational performance from 2014 onwards.
 A front-runner project in all aspects, culturally, socially and technically, is our new superabsorbents production facility in Saudi Arabia. It is the first superabsorbent production facility in this region, thus, giving us a first-mover advantage in the high-growth MENA region.
 Favorable supply of raw materials and energy has been secured via a strong network of partners, and a significant part of our production volumes will be taken off by a major key customer via a long-term supply contract. The project was realized on time and on budget, but what is even more important, there was no lost time incidents during construction and commissioning.
 The new oleochemicals chemicals production facility in Shanghai will supply an attractive portfolio of high-quality products for our Consumer Specialty business unit, mainly for use in Personal Care, household cleaning agents and also industrial applications. We are already well positioned in the market for these products in Europe and the U.S. And now, we are able to support also the growth of our major key customers in the strategically very important Asia Pacific area with local production.
 Let's move on from growth to efficiency. As already mentioned during our Capital Markets Day, our On Track 2.0 program is making good progress here. In late September, we announced that we will now also thoroughly [ph] analyze our administrative organization to identify additional potential for streamlining corporate and other administrative structures. We want to create an administrative organization that has a common stamp worldwide without duplication of responsibilities on the one hand, and also unacceptable workload on the other. The new program called Admin Excellence supports our long-term growth strategy and also our financial targets.
 Over the past 5 years, with the exit from energy and real estate businesses, Evonik has divested entities in the magnitude of more than EUR 1 billion. But in many aspects, the present administrative functions still reflect Evonik's former conglomerate structure and therefore, we are now extending the progress made in the operating units with On Track to our administrative organization, and the goal here is to save up EUR 250 million per year by the end of 2016.
 It is important to highlight the different directions on the On Track 2.0 and Admin Excellence programs. On Track 2.0 mainly aims at productivity improvements at our sites and material cost savings through improved procurement and only a small part of the program target savings in administrative functions, namely in business services.
 With Admin Excellence, we will now analyze the administrative structures with a broader scope, and this includes not only business services in our corporate center, but also the administration of our business units, business lines, regions and even single facilities. The retention rate of Admin Excellence will be high. We will review and sustainably change processes, interfaces and the overall organizational structure, which will come together with reduced headcount as well.
 Following the transformation of Evonik into a pure specialty chemicals company, the supervisory board decided to implement a Chief Operating Officer in the executive board. Operational responsibility for the entire commercial business will therefore be transferred to Patrik Wohlhauser as of January 1 next year. Thomas Haeberle and Dahai Yu will be leaving the company by amicable and mutual agreement at the end of December of this year.
 Let me say that the successful transformation of Evonik over the past years would not have been possible without the full commitment of Mr. Haeberle and Mr. Yu. I would therefore like to thank both of them for their excellent cooperation and their outstanding achievements during the last years. Of course, the leaner executive board will be supported by our 7 business units heads, as it is the case already today. So together, they form the global executive committee, which meets at least monthly and guarantees broad and hands-on operational expertise on the entire top management level.
 As already briefly mentioned in my introduction, we intend to divest our lithium-ion battery activities, which include the joint ventures with Daimler at our Kamenz site in Germany. They are based on the development of SEPARION, which is a flexible ceramic separator that enables the production of large-format high-performance battery cells with superior safety features and long operating lifetime.
 In order to leverage the growth potential of e-mobility, we formed joint ventures with Daimler for the E-smart car and mass production for the current generation of E-smarts is now up and running, and this can be regarded as a huge success for a basically new and disruptive technology.
 However, the current state of e-mobility markets is challenging. On the one hand, demand for electric vehicles is lagging behind expectations globally. And on the other hand, supply has expanded rapidly. Therefore, competitive pricing is becoming more and more an issue here, and this can only be achieved via a significant scale, which, for us, would mean the necessity of another major investment into our current operations.
 Given our profitability targets, as well as our investment criteria, we cannot, at this point, commit to such an investment. And consequently, we intend to fully divest our lithium-ion activities. We are now together with Daimler, actively looking for a buyer who is able to fully focus on this business and leverage the necessary economies of scale and thus, realizing the full potential of this integrated battery production site.
 That concludes my first part of the presentation, and Ute will now provide you with more details about our Q3 financials. 
Ute Wolf: Thank you, Klaus, and welcome from my side as well. Let me briefly summarize the financial highlights of the third quarter. Sales came in slightly below last year, mostly due to weaker prices. Volumes were strong and volume growth even accelerated for the second quarter in a row, from flat in Q1 and 2% in Q2 to now, 5% in Q3.
 Mainly due to the lower pricing environment, adjusted EBITDA decreased by 26%. But please keep in mind that Q3 was the strongest quarter of 2012. Last year's earnings contained around EUR 50 million of one-time effects in the Resource Efficiency segment, namely provision releases and receipts from the take-or-pay contracts with the photovoltaic industry. Consequently, the adjusted EBITDA margin was also down to 16%, 4.9 percentage points below last year's level.
 Net debt came down significantly after the closing of the real estate divestment. We now show a net cash position of almost EUR 600 million. As you have already noticed, last year's figures have changed. With the intention to exit the lithium-ion business, these activities have been classified as discontinued operations. The operational result of the business has so far been recorded in adjusted EBITDA and in the corporate other on segment level. Now, it is shown in the discontinued line of the P&L, and the details are given in the notes. The numbers of prior year and prior quarters were restated accordingly.
 On Chart 10, you see, in more detail, the sequential development of our specialty chemicals segment. After the drop in earnings in Q2, the development in the third quarter was satisfying. We have seen a clear stabilization in all 3 segments and also in the underlying 6 business units. This is reflected in the improved EBITDA margin as well.
 Let me go into more detail on the individual segments now. In Consumer, Health & Nutrition, the Consumer Specialties unit continued its positive development. In Health & Nutrition, the earnings' downward trend from Q1 to Q2 of this year has slowed.
 For methionine, we faced solid market conditions in most parts of the world, while growth rate in China are still subdued. After the food quality crisis, consumer confidence is being restored slowly, but the recovery is less swift than expected.
 In lysine, we continued to suffer from higher raw material costs. As predicted during last quarter's call, this situation has even gradually worsened. With the new harvest in the U.S., we should see a relief starting in the upcoming quarter.
 Our Resource Efficiency segment once again has proven its resilience in Q3. Volume growth was strong in both business units, and we managed to keep prices stable. As mentioned earlier, last year's earnings in this segment contained around EUR 50 million of one-time effect, so if you adjust for that, underlying earnings and margins even increased notably.
 Inorganic Materials sales were down mostly due to currency headwinds from the Japanese yen and the missing contribution of the photovoltaic activity. Operationally, the business performed well. Silica showed a strong volume development, benefiting again from its broad range of applications. For example, sales into coatings and here, especially matting agents increased.
 We also saw positive signs from the tire industry, but this was partly offset by the aforementioned negative currency effects. The main positive impact on the segment results had [ph] Coatings & Additives. After a slow start into the year, we've benefited from good weather conditions and catch-up effects in the construction and coating industries.
 Sales in Specialty Materials came in below last year, while Performance Polymers benefited from the further ramp up of the CDT plant, sales in Advanced Intermediates decreased. Lower average Butadiene prices had a negative effect on revenues and also on adjusted EBITDA. Nevertheless, the sequential performance was positive.
 Earnings increased notably compared to Q2, which was impacted by a planned maintenance shutdown of our C4 chain. In high-performance polymers, earnings were, for the last quarter, supported by insurance payments from the accident in our CDT plant. Volumes are further ramping up and customers are returning. However, this is taking longer in project businesses like the oil and gas industry. And in the photovoltaic industry, orders are also slowly recovering after the resolution of the conflict around import duties between the EU and China.
 In Advanced Intermediates, prices across the C4 chain were lower both compared to last year and also last quarter. Butadiene has shown a stabilizing trend since August, which seems to continue also for the next month. However, we would not expect a significant upturn during Q4.
 Some words also on the corporate segment. The lithium-ion activities have been classified as discontinued operations, following our intention to divest the business. This means that adjusted EBITDA no longer contains the negative earnings contribution. Previous periods were adjusted accordingly for this effect.
 Corporate adjusted EBITDA in Q3 was less negative than in the first 2 quarters of this year. The cost management project for short-term savings is progressing well and under way to reach the targeted EUR 40 million of savings in the second half of 2013. Positive effects also came from FX accounting effects in other comprehensive income and changed market values of hedging instruments. These effects amounted to around EUR 10 million.
 Let me now come back to the Admin Excellence program, which Klaus already highlighted before. The program will be implemented in several phases. Currently, we are collecting the data and are specifying the exact goals and levers of the program. Starting in 2014, specific measures will be defined. Towards mid of next year, we will start with the implementation of these measures.
 This means that first savings can be expected already in 2014 and ramping up further from then on. We target to realize the bulk of the savings already in 2015 and the full impact of the targeted up to EUR 20 million -- EUR 250 million by the end of 2016. The exact timing of the cash out for the program depends on the measures, which are currently defined but you can expect them to be comparable with the ramp-up of the savings, which means rather in 2015 and in 2016.
 All necessary restructuring charges related to Admin Excellence were already booked in Q3. The overall adjustment of EUR 235 million contained EUR 163 million of restructuring expenses. They are mainly related to the Admin Excellence program. There is a small counter effect from income in connection with the exit from the photovoltaic business last year.
 Finally, a short look on the net financial debt. Following the closing of the real estate divestment in Q3, we established a net cash position. The cash inflow from the sale of Vivawest stakes to both RAG Foundation and RAG AG amounted to almost EUR 1.1 billion. But also, the operating cash flow of almost EUR 700 million in Q3 was strong. Our total leverage of now only 1.4x gives us plenty headroom to further pursue our internal and external growth strategy.
 With this, I would like to hand back to Klaus for the outlook. 
Klaus Engel: Thank you, Ute. Let me finish our presentation with the outlook statement. We believe that global economic conditions will remain challenging in the coming months. And overall, we are therefore sticking to our midyear forecast for global economic conditions in 2013 as a whole. Against this background, our outlook, given in our half year financial report for our continuing operations is still applicable. And for 2013, we expect sales to be at around EUR 13 billion and adjusted EBITDA of around EUR 2 billion.
 As our fourth quarter is usually weaker due to seasonal patterns and year-end effects, we do not expect another sequential improvement in our earnings. However, we have reflected this in our outlook and hence, expect to achieve, once again, our guidance of EUR 2 billion for the fiscal year 2013.
 Having said this, I would like to conclude my presentation and hand back to Tim. 
Tim Lange: Yes, thank you. And I'd like to actually [ph] open the Q&A session. So we'll be happy to take your questions. I guess, the first question comes from Thomas Gilbert, UBS. 
Thomas Gilbert: 2 or 3 questions. The first one, and apologies if I've missed this, can you quantify the impact of the Al Jubail start-up costs that you have experienced in superabsorbent polymers, and that you are, also forward looking, expecting for how many quarters and how much that's going to impact the margin in the business line? That's the first question. The second question is, I was wondering if you could give a guidance for the net cash position or the -- excluding pensions for the year end? And the third one is probably a typical analyst's key [ph] accounting question. But if you strip out a business that makes probably a EUR 40 million, EUR 50 million EBITDA loss at full year, shouldn't you raise your guidance for the full year, or at least say we're comfortable to be above EUR 2 billion? Or is that just too narrow-minded a question? 
Klaus Engel: Thank you, Thomas, for your question. It's Klaus. I'll take on the question on the superabsorbent plant, and then Ute will take care for the other 2 questions. Of course, all the start-up costs have been factored in, in our economic assessment of the project so far. I think we do have a very favorable setup here of economic parameters. Please bear in mind that the raw material supply in Saudi Arabia is very favorable, that means for us access to propylene and acrylic acid. We have a long-term supply contract here. And also, we -- I would like to remind that this project has been stimulated by our major customers, which we serve already in other parts of the world. So in turn, they have committed themselves to take off a major part of the volume of this new capacity at fixed terms over a longer time. So out -- all of -- out of all of this, we are pretty sure that the benefit from this project will help us to enhance the profitability in this business right away from the start. So in a nutshell, there will be no short-term or midterm burden coming from start-up costs here. Ute, on the other... 
Ute Wolf: Net cash position, yes, there are still some payments to be made. The first is the contribution to our CTA, which, of course, lowers the net cash position. In addition, we have interest payments on the outstanding bonds, also in the magnitude of, together, around EUR 100 million. Tax payments, of course, are also due in Q4. So that overall, the net cash position will reduce. But I think there is a chance that we come out a little bit better than we indicated before. 
Klaus Engel: Yes. Finally, on the issue of Li-Tec here as discontinued operation, honestly, we have to follow here the guidance of the accounting standards. That's what we technically are doing here. I think it's fair to say that overall, it has a limited effect on our full year financials obviously. And when it comes to our guidance, it has always been for around EUR 2 billion of adjusted EBITDA, give or take. And of course, intentionally, our guidance was given here for continued operations. 
Operator: [Operator Instructions] 
Tim Lange: I guess, the next question would come from Paul Walsh from Morgan Stanley. 
Paul Walsh: I just wanted to touch on the amino acids business. I think the guidance calls for some stabilization in methionine prices, and obviously, you're expecting feed costs in lysine to go down in the fourth quarter. Do you think that there is -- that the scope for looming capacity additions to have a further impact on methionine in particular? I'm referring to the capacity additions from Unisplendour from Medicio [ph] and yourselves next year. What gives you confidence, given what we've seen in methionine that prices can't move further south from here? And on lysine, given the competitive pressures that you're seeing in that market at the moment, do you think you'll be able to retain the benefits of lower feed costs as that starts to come through in the fourth quarter? And then my second question, on the other line, it's a rather boring question. I know you've taken the lithium-ion business out of that. But can you give us some guidance on the sort of quarterly run rate from here on the other and corporate costs, please? 
Klaus Engel: All right. I will take care for a more in detail view of the feed additive business, and Ute will take care for the more boring part of the question. First of all, I think it's fair to say that the global methionine market has seen a continued growth also this year, but clearly below the long-term average of 6%. The regional markets have shown here, I would say, mixed picture with somewhat subdued growth rates and pressure -- price pressure. In some regions, Europe, good demand on high volume and price levels, although lower compared to the record levels of last year, and strong growth here in particular in Russia and also Middle East and North Africa. North America markets stable, but some competitive pressure and weaker prices. And Latin America, after a somewhat difficult start into the year, I would say, markets have improved in Q3, following the improved environment for the meat producers there. Asia, slower recovery than expected after the food crisis. I'm referring you to the bird flu issue. The consumer confidence is being restored but only slowly, and meat consumption is still lower than originally expected. In Southeast Asia, generally better demand situation than in China. And in combination with the startup of new Asia capacities, I would say, of course, the upside momentum cannot be seen, I would say, dramatically at the moment. Prices therefore might remain under pressure for the next month, and it will depend also on the speed of new material from starting up projects entering the market. Here, I would say, again, we saw in the news, and this is somewhat confirming what we always said. There are considerable barriers of entry regarding the technology. There is namely one competitor with a 50 KT of total capacity, which is wrestling to get the environmental approvals and permits. And what we have heard is that this project will be on hold at least for the next month. Nevertheless, we are aware that there are more projects coming. We have factored these new capacities in. So honestly, that will somehow limit the room here for price increases. But again, that is something that was foreseen by us since quite a while and is factored in, of course, in our business plans. Gradually, recovery of the market therefore and the return to historical long-term volume growth. I would say, we could expect over the course maybe in the second half of next year. A couple of words to lysine here as well. Sales were slightly below prior year. Higher volumes, we have seen from our expanded production site in Blair, but the volume could not compensate for the weaker prices here. The business is currently affected by temporarily high raw material costs as a result of the drought in the U.S. corn belt of the last harvest and therefore, resulting in high see-saw [ph] prices. The negative raw material impact to us also continuing. In this quarter, it was a little bit even higher than Q2. And then in Q4, we expect a recovery here with the new U.S. harvest coming into play, which is forecasted to be more supportive and positive. Also additional here, prices in NAFTA and EU continue to be somewhat under pressure in Q3 across the board as a result of lower animal production, while at the same time, imports from China stayed at increased level. So here, again, the momentum of price recovery will strongly depend on the absorption of surplus material from China through the local market growth. 
Ute Wolf: Okay. Coming to the other segment, overall, the Q4 is always influenced by year-end effect. If you look at the quarterly development of last year, you'll see that. I would say, for this year's fourth quarter, it should be in the same region as in last year's fourth quarter, so that overall, the EBITDA of others would be a little bit worse than last year. 
Tim Lange: Thank you, Paul. Next question from Ronald Koehler from MainFirst. 
Ronald Koehler: My first question is on your volume growth. I think 5% was definitely an impressive number from my perspective. Could you a little bit elaborate on -- perhaps on business lines, on the drivers of this volume growth, and would you see that continuing in the fourth quarter? A little bit elaborating on that would be helpful. Second question is actually on your methionine volume development. I believe you have seen a volume trough yourself in the second quarter. And I would think, if I look through the earnings, that you saw at least a quarter-on-quarter pickup in volumes in methionine. Can you a bit elaborate on your volume development quarter-on-quarter, please? And the last question on the new superabsorbent plant in Saudi Arabia. As I understand, you're doing the marketing, but you have only the 25% joint venture participation in the production, which means it is a low-margin business what you have in here and just that it should be not dilutive to profitability before. So just to clarify that, should their sales have a normal margin like the other superabsorbent business, or is it as a trading partner to stay with a developed margin. That's my question. 
Klaus Engel: Yes. Ronald, it's Klaus. On the volume growth, yes, I would say, more and more, we have seen in most of our markets a slow recovery in terms of demand. That is true throughout the entire portfolio. Of course, as you've seen over the remainder of the year, what is limiting overall here a little bit is the pricing issue. So we have to wrestle more with pricing rather than with the demand, which is nicely stabilizing over the time. For methionine volume, I would say the picture is unchanged. We strongly believe in the long-term strategy on -- I explained several times why we are strong believers in the above-average growth, and the mechanics here have not changed. Again, what has put a burden somewhat this year, there are 2 effects. First of all and -- that we have to accept from time to time. There are events like the bird flu that we have seen in Asia and also in Mexico. It was [ph] handled by the authorities much more professional, and the issue of food quality has also been addressed publicly by the government, so there's an improvement in the reaction of this challenge. But this has clearly caused, at some volumes, I would say, has an extraordinary effect. On the other hand, we are pretty much aware that given the growth and also the profitability of this business, a number of competitors are also coming over the time with new capacity. We, ourselves, as a market leader, we feel responsible to lead this growth. And now, the question is, of course, how over the time and the exact timing of these new capacities will come into the market? This is very hard to predict. As I mentioned a minute ago, one competitor, which was already pre-marketing heavily and has somehow, I would say, dragged the prices down is on hold completely right now. So there are 50,000 tons, which are not available in the market. And when the decision was made to discontinue the production there, we have felt this immediately in the market. It will now depend on the further ramp-up of new capacity. As ourselves, we are concerned with our new world scale capacity coming from Singapore. I can only reconfirm that we will introduce the capacity in the market here in a very responsible way over the time. And we can do this because this capacity in Singapore will be part of a greater worldwide network, together with the plans that we run in Europe and in -- also in the U.S., so we have some flexibility here in introducing the new volumes. On superabsorbent participation, I think that reflects somehow the capital involved here, but probably Ute will give one or 2 more comments on this one. 
Ute Wolf: Yes, of course. Yes, the sales will be fully visible as they are generated by the marketing joint venture where we hold the majority. So the earnings that you see are somewhat a sales margin earnings. The earnings of the production joint venture are then accounted for at equity. So technically, of course, there is a little bit of a margin dilution. But as it is only a part of the overall business, I think you will merely not see that on the segment level. 
Tim Lange: Thank you, Ronald. Next question would come from Martin Roediger. 
Martin Roediger: I would like to ask 4 questions. First is -- on the business momentum within Q3, and also what do you see in terms of your order books. And this request refers more to the Resource Efficiency and the Specialty Materials segment. The second question is on your Admin Excellence program. You mentioned a high retention rate. Does it mean more -- a level of 70% or 90% retention rate? And does this already reflect the overlap with the On Track 2.0 program? Third question is on your -- Page 12 in the handout, on MMA and PMMA, where the markets remain challenging. Is this a structural issue as we already see that polystyrene is a substitute inducing PMMA in flat-panel TVs? And the final one is on cash flow. Also in your handout, on Page 24, there was a huge swing in changes in miscellaneous assets and liabilities, and you cite that this related with insurance payment. Can you remind us what is the amount of insurance payment in Q3, and why was this figure or this line in cash flow last year quite negative? 
Klaus Engel: Thank you, Martin, for your question. I will try to answer you regarding the commercial issues, and then Ute will follow-up with the cash flow question and the retention -- on retention rates and the question on the effect from the Administration Excellence project. Outlook Q4. I think it's fair to say that we see a stabilizing trend in most of our markets and businesses which continues. Of course, as a rule of thumb, Q4 generally is a weaker quarter for Evonik due to seasonal and year-end effects. So I think we cannot expect another sequential improvement here, to be honest. The seasonality is less pronounced in Consumer, Health & Nutrition. Actually, in some areas, because the production for Chinese New Year is coming into play, we see even an increase here. But there is also a negative effect that is more pronounced in Resource Efficiency because the tire production for the season is over there. The silica is coming a little bit more to normal levels. And also, Specialty Materials that has some exposure to the construction industry, that is something that at least, in Europe, is a little bit more coming to normalized levels by the end of the year. So again, less seasonality in Consumer, Health & Nutrition, a little bit more in Resource Efficiency and Specialty Materials. So as in Q2 and Q3, also Q4, this year will be lower than the previous year quarter, but still mainly driven by lower prices. And as I said before regarding the volume, we are a little bit more confident here. And the most important thing here is that all -- what I have said here right now is, of course, reflected in our guidance. On Specialty Materials and MMA and PMMA in particular, I think it's true, the overall market situation, which was difficult already in 2012, continued into almost the whole year 2013. Sales are stable, but earnings and the margins are lower, driven by weaker pricing and also considerable high raw material prices in China for certain technologies, namely here in our case for MTBE. MMA, I would say, the coating applications showed a slightly improved demand here. So it depends a little bit on which end market we are looking at. On the other hand, PMMA demand still weak. There is, on the one hand, the raw material cost pressure and the prices here under pressure, especially in Asia. And also, we have also here, I would say, we could not expect a recovery before the middle of next year. Maybe in regional aspect, again, if we look here region by region, NAFTA is expected to stay modestly positive in Asia. As I said before, end markets, all in all, still weak. No significant turnaround in sight, and Europe, no upturn. Here, we have, of course, what weighs here heavily is the consumer confidence and the crisis in Southern Europe, where a lot of material is going in markets there that is still weighting negatively on the business. The issue that you raised, if polystyrene would be a substitute for PMMA, that isn't -- we cannot exclude this for very particular or rather low-end applications. But I would say, all in all, that would not completely change the total picture. So I think PMMA as such is a material that has superior features, especially when it comes to the optical features in the electronic industry, which is, in almost all the cases, hard to match for other engineering plastics. 
Ute Wolf: Okay. On the other 2 questions, starting with Admin Excellence, I see -- I think as you see on the chart indicated, there is a very small overlap conceptually to On Track, so -- but this is in small- to medium-sized double-digit million region. The On Track program, as we said, is targeting very much procurement, operational cost, so there is a higher influence from factor cost increases. For the Admin Excellence, of course, over time, will have great increases, other inflationary tendency, but the retention rate should be substantial. On the cash flow, what has happened this year, we had insurance claims for our CDT accident, and they were accounted in the P&L over time, so -- month by month. And we now had an overall final settlement with the insurance, and that was the payment that you see in the cash flow. In last year's third quarter, we had reversal of noncash restructuring income from our photovoltaic business. So that are the main influencing factors here. 
Tim Lange: Thank you, Martin. Next question would be from Norbert Barth from Baader Bank. 
Norbert Barth: Norbert Barth from Baader Bank. I also have 3 questions from my side. First, on the lithium-ion disposal, do you really believe that you will find a buyer, or is there even a risk that you have to close it by you and have to keep it? So the question mainly, on the point, is everything already written down? Or in that case, if we -- if there is more to come, what do you have to expect on that side? The second question, more or less the same as -- or if Martin still has a question but was not answered. This retention rate on the Admin Excellence, so you speak on a high retention rate, can you give us a little bit of a feeling on what number you are thinking about that? And the third question, on the Butadiene development. So can you elaborate a little bit more how you see that going forward, especially in the fourth quarter? And you mentioned also that you see some recovery in the tire business. Can you elaborate in what area and especially, in what region, do you see that? 
Klaus Engel: All right, Norbert. Thank you for your questions. I will try to start and Ute will assist me later on. On the lithium-ion battery case, I can confirm that all risks, which we can anticipate, we have provided for. So all the risks should be reflected in our issues, which we have provided for in the balance sheet. On the Butadiene development, we have seen volumes slightly lower year-over-year, and that is, first of all, to do also with the ordinary maintenance shutdown, I think we have talked about that, which happened in Q2 and which was a little bit reaching also into Q3. The overall demand for Butadiene is, fair to say, is still weak in Europe and the U.S. But it's now slightly increasing in the -- in Asia since a couple of weeks. And as a consequence of that, we have also seen modest price increasing here, I would say, since August, and that has also continued not in spectacular amounts, but there is an ongoing sustainable recovery through October and also in November. I think the price recovery is mainly driven by supply rather than demand. We had less supply in Europe and Asia because there were cracker maintenance and also the issue of lighter feedstock, which have -- which we have discussed on other occasions already. And the additional supply constraints in Asia, they come in our opinion also here from delays in new Butadiene extraction start-ups and also from low operating rates and delayed start-ups of Butadiene on purpose plants here. The European recent price development is supported by exports to Asia, so prices are notably higher in Asia than in Europe. On the demand side, I would say, short term, no significant improvement of the rubber demand expected. And what we feel here is that the inventories are still high globally. On the question of retention rate, I think the point we want to make here is that as we're talking about administration and administration costs, of course it's a mixed bag, but as a very general rule of thumb, probably it is fair to say that 2/3 of the total cost is personnel cost and 1/3 might be other costs. If we are successful in bringing the headcount down, I would say very roughly that 2/3 of the cost, which we are targeting for over EUR 250 million, should be retained very broadly. I think I have one -- did this cover your question or did we miss something, Norbert? 
Norbert Barth: I think only -- yes, the tire industry perhaps in particular, a little bit. 
Klaus Engel: Tire industry. We have seen a recovery here, and we are participating here, first of all, through our silica business. We can confirm that our silica business was positively influenced. But still, here, I think for the tire industry, of course, we have the issue of the inventory, so the recovery was not very spectacular. What applies also in our role in the market is, of course, that silica is part of the new green tire concept. So I think we can benefit here from the legislation, which is in place, and that should also continue in the next month. The OEM market in the U.S. has somehow revitalized there also a little bit in Europe. And what we also have seen with our accounts here that the winter tire production has indeed started a little bit earlier than expected, so this would help in stabilizing the overall demand. 
Tim Lange: Thank you, Norbert. Next question from Andrew Benson from Citi. 
Andrew Benson: One of your competitors is talking about weakness in some of the specialty polyamide grades, potentially in the fourth quarter. Are you seeing something like that? Can you just recap on the outlook for financial costs into 2014? And you did -- in the Capital Markets Day, you did mention your priorities for your balance sheet. You do have now a fabulously strong balance sheet. And I was just wanting to know when you thought it might be. What's the timeframe for returning more capital to shareholders, or what your thoughts would be on, perhaps, increasing say the return of capital to shareholders? 
Klaus Engel: Thank you, Andrew, for your questions. I will start to comment a little bit on the polyamide business, and Ute then will follow-up on financial cost and the use of proceeds and how we go along with the strengthened financial profile. We have seen from our business, polyamide 12 sales are increasing after the Marl incident that we unfortunately have seen here. The customers are coming back constantly with a little bit of delay. But we see more and more that they're turning back, and I think this is a good proof that they really see and have stated this as well, that in terms of cost performance issues, polyamide 12 is an engineering plastic that all in all is very hard to substitute. If I may quote one customer, here is -- he said, "The best substitute for polyamide 12 is polyamide 12." This is true in particular for the car industry, but also for oil and gas projects. Oil and gas, it is a project business here. It's the mechanics of the acquisition that this takes a little bit longer to recover because these guys are planning long term. You have to apply with the product and approve the product. That can take a couple of months here. So here, one or the other project income is still missing. And also there are some other volumes with regard to photovoltaic customers, which are still a little bit wondering about the issue of the Chinese producers. The issue here is the wrestle with the EU imports. So somebody is -- some customers are still skeptical here. And we hope, once this issue is sorted out, that also photovoltaic customers might come back here. On the other hand, as far as polyamide 12 is concerned here, of course, the flip side of the coin is that low Butadiene prices are here beneficial. As we have explained before, we use our own Butadiene here to support the high-performance polymers business, so the lower raw material costs here have supported clearly the business. Ute? 
Ute Wolf: Okay. I assume, with financial cost, you talk about the interest expenses. So we have, on the cash interest, of course, an ease coming from the procured [ph] Degussa bond with a relatively high coupon, and our new bonds bear substantially lower coupon, so that is overall some EUR 45 million less cash interest. The CTA funding, of course, also has an influence, an impact, on our overall interest expense. If you compare '13 to '14, that should be in the range of another EUR 10 million. Yes, the balance sheet, I think, of course, we have a very strong balance sheet now. But I really like to remind you that we just have the strategy to focus on specialty chemicals, and that is also the motivation why we sold the real estate. So going forward, we have several value-generating uses of the funds. First, of course, our internal growth via the CapEx program, I think, which we introduced several times and explained. Also, external growth is an option via selective acquisitions. There is also a funding program for the pension obligations to derisk the balance sheet a little bit, given the relatively high interest rate fluctuations we face. Of course, offering an attractive dividend is an integral part of that. If, after all these priorities for use of cash, additional funds, would be available in the future, share buybacks or special dividends could be an option, that's clear, and we would also evaluate that over time. Currently, this option is a little bit premature as we have just closed the real estate divestment. 
Tim Lange: Thank you, Andrew. For the time being, the last question on the line comes from Lutz Grueten. 
Lutz Grueten: One is left here. On batteries, again, if I follow the news flow out of the industry, and I'm not an expert on battery business here, but just following the news flow from BMW, from Tesla, it seems to me that demand is just kicking in now. And your decision to divest in the business looks a bit premature. Why do you think that the timing of the divestment now is the right timing and not keeping it for at least a couple of another quarters? 
Klaus Engel: It's Klaus again. Honestly, we are looking at this decision a little bit with one eye crying, one eye smiling, because first of all, we are proud that we have brought here a great innovation into commercial use, and the so-called proof of concept is clearly there. We have a couple of thousand E-smarts which are running on German highways right now and it's tangible. So from a technical point of view, I would say, mission completed. We were always aware together also with Daimler that beneath technological requirements, safety issues, costs are also an important issue here. And in that area of business, we know that scale effect is tremendously important. There is a big debate on what costs could be carried, when could electromobility be profitable for the car industry, and this discussion is also complicated because there are opportunistic costs here, the penalties they have to pay in light of the CO2 emission regulation coming from the EU. So some burden in the car industry we'll have to take. But of course, I can understand that they want to bring the costs down here. And as a consequence of that, major players, of course, have started big world scale plans for various formats of cells for our technology, which is proven, and Daimler is happy with that. It would mean, at this point in time, that we would have to reinvest another considerable, I would say, 3-digit million number into a business where, from an overall point of view of our portfolio, I would say, it is not at the core of our business. And we would also change considerably the risk profile if we look on the balance of various businesses that we have in our portfolio. And given the overall profitability that we can expect from this business, we thought it's probably not the best way now, again, on top to invest into further capacities, but to hand over this great technology into somebody who really has e-mobility and batteries as a core business. And I think that is a decision that is good for the remainder of our businesses because we have still other opportunities to grow and hopefully, probably even more profitably. 
Tim Lange: Thank you, Lutz. I guess my announcement of the last question of Lutz challenged Paul Walsh to ask another question. So we take another maybe last question from Paul Walsh. 
Paul Walsh: Sorry about that. 
Klaus Engel: It's not a problem, Paul. [indiscernible] 
Paul Walsh: It's not exactly going to be the world's most insightful question either, I'm afraid. It was really just an observation that the currency drag on the business in the third quarter was pretty de minimis compared to what we've seen elsewhere in the sector. And I was just curious to know if that was because hedging had protected you short term and you were going to see it at some stage, or just you're not exposed to some of those EM currencies as much as maybe others are. 
Klaus Engel: Paul, your question is perfectly all right. I think it reflects both. Yes, we pursue a certain hedging strategy that Ute can elaborate a little bit more in detail on -- in a minute. But it also reflects, I think here that we have overall a balanced regional exposure. We love to be in the emerging areas. And in some regions, of course, we feel also negative effects. I think probably the most individual negative effect that we have seen in the currency portfolio came probably from the yen effect. Ute is confirming that. But all in all, in major countries, we have the sales and the currency. Let's say in U.S. dollar, we have the cost in U.S. dollar, so there is an internal hedge as well. And all in all, I would say, yes, it's probably this balance that has secured us here from further damage coming from currency effects, but Ute can probably say one or 2 words more. 
Ute Wolf: I think there are translation effects. So when you have your P&L in a different currency and that is then translated into euro, I think this is exactly where the yen effect plays a role. Overall, with hedging, we have a rolling hedging strategy 15 months ahead, which, of course, more or less balances the effect over several years. But in addition, when we give the forecast to the financial markets, we have -- know the hedging rate, so we can incorporate these effects already into our forecast. And from last year, of course, we have relatively good hedging rates in the dollar. 
Paul Walsh: And does that mean that you would expect the currency devaluations right now to have more of an impact next year? Is that fair or not? 
Ute Wolf: Yes. But as we have the hedging rate when we give the forecast, so that would be then incorporated into the forecast we give to the market. 
Tim Lange: Thank you, Paul. We'll give it another try with a last question, which, this time, comes from Patrick Lambert from Nomura. 
Patrick Lambert: It's actually very related to Paul's question. Can you quantify a little bit the impact at EBITDA level of FX if you can, and maybe translation versus transaction in hedges just for us to get a better grasp on the margin development due to FX? 
Ute Wolf: I think on the earnings, over the full 9 months, the currency effect is relatively neutral. 
Patrick Lambert: So that means that all your geographical exposure -- because clearly, Germany is more -- in Europe, as a whole, in terms of euro delivery [ph] costs is much higher than your sales as a proportion -- your hedges are fully functional there? 
Ute Wolf: Yes. We hedge the net position, so I think that reflects then the overall exposure. 
Tim Lange: Yes, thank you very much. If this answers your question, Patrick, then we would end today's call.
 Thank you for your participation, thank you for your questions and looking forward to staying in touch with you on the upcoming roadshows and conferences.